Operator: Good afternoon, ladies and gentlemen, and welcome to the NewMarket Corporation Conference Call and Webcast to Review Fourth Quarter 2020 and Year-end Financial Results. [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Brian Paliotti. Sir, the floor is yours.
Brian Paliotti : Thank you, Matthew, and thanks to everyone for joining me this afternoon. As a reminder, some of the statements made during this conference call may be forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and our SEC filings, including our most recent Form 10-K and our first quarter 10-Q. During this call, we may also discuss the non-GAAP financial measure included in our earnings release. The earnings release, which can be found on our website, includes a reconciliation of the non-GAAP financial measure to the comparable GAAP financial measure. We intend to file our 2020 10-K towards the middle of February. It will contain significantly more details on the operations and performance of our company. Please take time to review it. I will be referring to the data that was included in last night's release. Net income for the fourth quarter of 2020 was $67 million or $6.12 per share compared to net income of $50 million or $4.48 per share for the fourth quarter of 2019. Net income for the year was $271 million or $24.64 per share compared to net income of $254 million or $22.73 a share for the full year of 2019. Net income for the year benefited from a gain of $16.5 million related to the sale of a nonoperating parcel of real estate, along with a reduced effective tax rate compared to 2019. Now on to petroleum additives performance. Sales for the quarter were $525 million, down 1% compared to the sales for the same period last year. Petroleum additives' operating profit for the quarter was $84 million, up 14.6% versus the fourth quarter of 2019. Shipments increased 1.9% between the periods, with increases in lubricant additive shipments in all regions, except Asia Pacific, partially offset by decreases in fuel additive shipments driven by the North America and European regions. During this past quarter, in addition to funding $21 million of dividends, we spent $33 million on capital expenditures in support of our long-range capital plans. Turning to the full year. Petroleum additive sales were $2 billion compared to sales in 2019 of $2.2 billion. This decrease was mainly due to lower shipments and decreased selling prices. Petroleum additives' operating profit for 2020 was $333 million, a 7.2% decrease compared to 2019 operating profit of $359 million. This decrease was mainly due to changes in selling prices, lower shipments and higher conversion costs, partially offset by lower raw material costs and selling, general and administrative costs. Shipments decreased 5.2% between full year periods, with decreases in both lubricant additives and fuel additive shipments. The effective tax rate for 2020 was 18.3% compared to 23.3% for 2019. The decrease in the tax rate in 2020 was mainly the result of finalizing prior year tax filings and releasing certain tax reserves. Petroleum additives' operating results for 2020 have been marked by an economic uncertainty resulting from the ongoing effects of the COVID-19 pandemic and the related restrictions on the movement of people, goods and services. While we have continued to operate throughout the year in each of our regions, we have had various times seen significant changes in some of the key drivers that affect the performance of our business. Our business continues to generate strong cash flow. During the year, we funded capital expenditures of $93 million, paid dividends of $83 million and repaid $45 million of borrowings on our revolving credit facility. We also purchased 271,000 shares of our common stock for a cost of $101 million. Along with our substantial investments in petroleum additives from both the capital expenditure and R&D investment perspective, we returned value to our shareholders through dividends and share buybacks totaling $184 million. We ended the year with a very healthy balance sheet and with net debt-to-EBITDA at 1.1x. As we have stated before, we are comfortable maintaining net debt-to-EBITDA in the 1.5 to 2x range and, at times, may go outside that range. In 2021, we expect to see capital expenditures and investments in the $75 million to $85 million range. As we look back at our results for the year, we are extremely proud of the operational performance we achieved, given the volatility the COVID-19 pandemic introduced into the global economy. We again want to sincerely thank our employees for their continued determination and commitment to do what is necessary to support our customers and ensure their supply demands are met. We are very proud of them all. As we look forward to 2021, we will continue to monitor government restrictions on the movement of people, goods and services as well as the status of vaccination programs that are being implemented globally. The pace and stability of improvement in demand for our products will continue to depend heavily on economic recovery and the rate at which government restrictions are lifted and remain lifted. Our business decisions will continue to be focused on the long-term success of our company, including emphasis on satisfied customer needs, generating solid operating results and promoting the greatest long-term value for our shareholders, customers and employees. We believe the fundamentals on how we run our business, a long-term view, safety and people-first culture, customer-focused solutions, technologically-driven product offerings and a world-class supply chain capability, will continue to be beneficial for all of our stakeholders. We appreciate your support, and we look forward to a very successful 2021. Matthew, that concludes our planned comments. If there are questions, please contact us directly via e-mail or phone, and we'll expeditiously get back to you with a response. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.
End of Q&A: